Operator: Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Briony Quinn, Chief Financial Officer. Please go ahead.
Briony Quinn: Good morning, everyone, and welcome to DiamondRock's fourth quarter 2024 earnings call and webcast. Joining me on today's call is Jeff Donnelly, our Chief Executive Officer, and Justin Leonard, our President and Chief Operating Officer. Sorry. Before we begin, let me remind everyone that many of our comments today are not historical facts and are considered to be forward-looking statements under federal securities laws. As described in our filings with the SEC, these statements are subject to numerous risks and uncertainties that could cause future results to differ materially from what we discussed today. In addition, on today's call, we will discuss certain non-GAAP financial information. A reconciliation of this information to the most directly comparable GAAP financial measure can be found in our earnings press release. We are pleased to report that our results for the fourth quarter, which we already anticipated to be strong, came in even better than expected. Comparable total RevPAR increased 5.5% over 2023, well ahead of our expectations going into the quarter, and over 250 basis points stronger than the growth achieved in the prior quarter. The upside to our expectations was most pronounced in our urban footprint, particularly in November and December. RevPAR at our urban hotels increased 8.2% on a 5.4% increase in average daily rate. November performance was less affected by the US election than we originally expected. More importantly, the calendar in December was favorable for two reasons. First, there were 17 business days in December ahead of Christmas, as compared to 15 days in 2023. Secondly, Hanukkah started on December 25th or nearly three weeks later than the prior year. The combination of these calendar shifts led to exceptional growth across all our urban markets, with December RevPAR up 13.2% led by our hotels in Chicago, Salt Lake, San Diego, and Boston. I also want to recognize the team at the AC Minneapolis for generating 17% RevPAR and 28% total RevPAR growth in our first full calendar month of ownership. Fourth quarter results at our resort hotels were mixed. RevPAR declined 150 basis points in the quarter, but out-of-room spending contains total revenue to a 10 basis point decline. Florida continues to see headwinds owing to what can best be characterized as a hangover from the pandemic. Heavy visitation, price inflation, Florida fans relocating to Florida, etcetera. We are hopeful the market finds its footing in 2025. Our Florida resorts collectively saw a 5.8% decline in RevPAR, while all our other resorts excluding Orchards Inn, which is under renovation, grew RevPAR 4.5% in the fourth quarter. Chico Hot Springs again performed well, delivering nearly 18% RevPAR growth on over 12% ADR growth as our revenue management and marketing strategies continue to play out at that hotel. Both Vail and Sonoma had strong revenue and EBITDA growth in the fourth quarter. Group remained our strongest segment in the fourth quarter as it has throughout 2024. Fourth quarter group room revenues increased 8.1% over 2023 on a 5.9% increase in room nights. At our urban hotels, group room revenue increased 10.2%, which drove a 6.4% increase in total food and beverage revenue. We continue to add groups to our resorts to build a base to preserve transient pricing and improve profitability. This strategy allowed us to deliver EBITDA growth at our resorts on essentially flat revenue. Turning to profits, hotel adjusted EBITDA in the fourth quarter was $75.9 million reflecting 16.4% growth over 2023 on a margin that was 250 basis points higher. Corporate adjusted EBITDA was $68.7 million representing almost 20% growth over 2023. Adjusted funds from operations was $0.24 per share, $0.06 or 33% over 2023. Before I turn the call over to Jeff to discuss recent events, outlook, and strategy, let me touch on our dividend and our balance sheet. At the end of the fourth quarter, we announced we would pay a $0.20 per share stub dividend in addition to the regular $0.03 per share quarterly dividend we had paid throughout 2024. In total, we paid $0.32 per share of common dividends for 2024. With that announcement, we communicated our intention to pay regular quarterly dividends of $0.08 per share in 2025 and depending on our 2025 operating income, an additional stub dividend in the fourth quarter. Several analyst reports and outlooks still reference a $0.03 per share quarterly dividend. So I am not sure this material change was widely understood. In fact, last night, we announced our common dividend for the first quarter of $0.08 per share. Turning to the balance sheet, we have three mortgage loans totaling just shy of $300 million maturing in 2025 at a weighted average cost of approximately 4.2%. Moreover, we have a $300 billion term limit maturity in early 2026 that is of year-end had an average cost of approximately 5.8% or 135 basis points over so far. Finally, our 8.25% preferred stock is callable in August. We continue to review the most cost-effective options to refinance these maturities through a combination of an inaugural corporate debt issuance, placement of mortgage debt, and a recast of our corporate credit facility. Included in the 2025 guidance Jeff will discuss, we have assumed that the maturing loans are replaced at a high 6% rate. Despite this, we do expect our overall interest expense to be slightly lower in 2025 as we realize the full-year benefit of interest rate swaps we executed in late 2024. On that note, I will turn the call over to Jeff.
Jeff Donnelly: Thanks, Briony, and thank you all for joining us this morning. Kudos to the entire team at DiamondRock for exceeding expectations. Not just in the fourth quarter, but throughout the year. It has been a very busy year. Our board took steps to reduce our G&A costs and increase efficiency. Under Justin, our asset managers exceeded performance throughout the year. In fact, we exceeded our original full-year total RevPAR growth adjusted EBITDA, and AFFO per share guidance. Guidance which we raised several times throughout the year. Moreover, our design and construction team rationalized our capital expenditures to minimize costs and maximize impact. Under Briony, the finance and accounting team seamlessly implemented new systems to improve and expedite financial reporting and data analysis. They handled this yeoman's task without a hitch. Anika Fisher has been a terrific addition to the team. She helped update corporate policies, strengthen governance, and internalize legal work that might have otherwise been outsourced to a costly third party. I also want to applaud our entire team for receiving NAREIT's Leader in the Light Award in recognition of our corporate responsibility success. I am so proud of what we have accomplished and how we are positioned for the future. Let me start with capital expenditures. In 2024, we completed room renovations at Bourbon Orleans, Westin San Diego Bay View, the rebranding of the Hilton Burlington to Hotel Champlain, and a spa renovation at the Westin Fort Lauderdale among other projects. The rooms at Westin San Diego were completed in early 2024 at a cost of $4 million. The public spaces will be completed in 2025 where monies will be used to improve the sense of arrival and expand the bar area and provide grab-and-go food options. We spent about $5 million at Bourbon Orleans updating the rooms and corridors. We introduced a destination fee for a food and beverage credit that guests can redeem in the hotel. Fourth quarter other income is up about 80% over the prior year, and we continue to see RevPAR increases. Recall, we reduced the scope of our renovation here, eliminating the addition of a lobby and pool area F&B outlet to enhance the overall ROI. The $8 million expenditure at Hotel Champlain enhanced our arrival in food and beverage outlets. These opened in June, and in the last six months of the year, F&B outlet sales were up $850,000 or nearly 40% over the prior year. We need to see more from these menus. We are aiming for upwards of $1 million of incremental F&B profit in 2025. Lastly, the spa renovation in Fort Lauderdale was a $1.5 million endeavor on which we expect a very rapid payback. Looking to 2025, the redevelopment and repositioning of the Orchards Inn in Sedona is well underway, and we expect to be finished with the rooms product by summer 2025 and the new pool amenity by fall. We have spent about $10 million thus far in 2024 and the remaining $15 million will come in 2025. We expect this project will cause about $1.2 million of EBITDA disruption in the first half of the year, more in Q1 than in Q2. On a full-year basis, we expect disruption will be about half a million dollars as we expect significant year-over-year improvement when the repositioning is complete in late 2025. Finally, we are working to refine the scope of the renovation and expansion of the Landing Resort in Lake Tahoe to deliver a more impactful ROI. Just as we did with Bourbon Orleans. There is more work to be done and we will have an update in the coming quarters as to whether and how we are moving forward. It is important to circle back to the performance of the Dagney repositioning. A hotel we converted to an independent in August 2023. The hotel remains number two on TripAdvisor in all of Boston, up from the mid-fifties when it was branded. Now the decision to go independent was not about higher revenue. Although that has been strong, 15% in the quarter and 9% for the year. The decision was about expense control to drive profitability. Our thesis was that the brand contribution was simply too expensive and we could match or improve profits as an independent while enhancing value with an unencumbered property. I am pleased to report hotel EBITDA, the Dagney's of 90% in the quarter and up 40% for the year to $14 million. Surpassing our 2024 budget by $2 million. We are looking for more of these opportunities. So let's talk about our recent sale in Washington DC. We closed the 410-room Westin for $92 million which equates to about a 7% trailing NOI cap rate. Or twelve times EBITDA. We intentionally managed the marketing to capture the post-election bidding excitement and time closing to capture the inauguration benefit. We have been fortunate to avoid the uncertainty that has since overtaken the Washington DC Market. The hotel performed better than expected last year. Several hotels in the brand family renovated in the past year, and we were able to draft off their associated average daily rate increases. I am disappointed I could not return more of the capital that was invested in this hotel, but I am very pleased with the proceeds our team realized and the very real brand-mandated renovation we avoided. We anticipated the room renovation may have surpassed $30 million. A lobby atrium renovation could have pushed this figure meaningfully higher. Given the market dynamics in Washington DC and especially the submarket, we felt the incremental investment could have been wasted and not produced a return on your capital. That is why I believe our free cash flow yield cap rate on sale is closer to 5%, if not lower. We are not collectors of hotels. They are merely the medium through which we are investing. We are here to invest, harvest, and reinvest your capital. Our job is to do this again and again to drive total shareholder return, or return capital to you if we cannot. Today, the pool of external growth opportunities is not particularly deep. Lenders are making it easy for undercapitalized owners to continue kicking the can down the road unless they receive an unrealistic price. We will continue to look at our portfolio for opportunities to prune hotels where we feel we can realize attractive pricing. Given our source of funds, our common shares, preferred equity, and in some cases, even our debt are among the most accretive options for deployment today.
Briony Quinn: Let's get to our outlook for 2025.
Jeff Donnelly: We expect RevPAR to grow 1% to 3% for the year. Total RevPAR growth is expected to be in line with RevPAR growth. Our group pace continues to improve with group revenue for the year up about 2%, which is about a 500 basis point improvement in our 2025 pace since our third quarter call. In the first half of the year, group pace is up in the mid to high single digits. The headwind to our year-over-year group pace is found at the Chicago Marriott. Recall, the Chicago Marriott benefited from the Democratic National Convention in August of 2024 and a strong calendar throughout the back half of 2024. A victim of its own success. An interesting data point, if we exclude the Chicago Marriott from just the back half of 2025, DiamondRock's comparable full-year 2025 group revenue pace increased as close to 400 basis points to nearly 6% from just under 2%. Now it is still early, but large group sales is where Marriott excels. Since the end of the third quarter, we have seen the Chicago Marriott's revenue pace in the second half of 2025, increased by over 1500 basis points. So we are optimistic we will narrow this gap. Looking ahead to 2026, company-wide revenue pace is up 15% on strong room demand and rate growth. We remain very encouraged. On the resort front, we remain cautious. We expect leisure will continue to see headwinds due to a combination of known issues, such as the value proposition of foreign destinations, and new concerns such as the resurgence of inflation and job uncertainty. Overall, our guidance expects continued softness in leisure and in the first quarter, we expect Florida markets will see mid-single-digit RevPAR declines. As I mentioned earlier, expect to see about $1.2 million of EBITDA disruption at the Orchards in the first half of the year. But we expect to get back all but about half a million dollars by the end of the year. Continuing with guidance, 2025 corporate adjusted EBITDA is expected to be in the range of $275 million to $300 million. Adjusting for the net impact of the AC Minneapolis acquisition, and the Westin DC sale, as well as the removal of share-based compensation, 2025 adjusted EBITDA is slightly behind 2024 at the midpoint. As Briony mentioned, we have a bit of financing work to do in 2025, and included in our guidance is the assumption we will execute some combination of a corporate debt issuance, credit facility recast, and possibly a mortgage loan on a hotel. Adjusted FFO is expected to be in the range of $199 million to $224 million and adjusted FFO per share is expected to be in the range of $0.94 to $1.06. In conclusion, our focus is on increasing earnings per share. One aspect of that means focusing on free cash flow per share. That is FFO after normalized capital expenditures and dividends. The more free cash flow DiamondRock can preserve and create, the more we can return to shareholders through share repurchases, dividends, and to reinvest to generate higher earnings. I encourage folks to consider FFO and free cash flow metrics in their valuation assessment of the sector. The disparity between portfolios is most evident in balance sheets and physical assets conditions, so it is important to consider the financial metrics that reveal these differences instead of focusing on metrics that ignore them. As EBITDA. With that, I will thank you for your time. And we will take your questions. Thank you.
Operator: As a reminder, to ask a question, please standby while we compile the Q&A roster. And our first question comes from Dori Kesten of Wells Fargo Securities. Your line is open.
Dori Kesten: Thanks. Good morning. Jeff, I think there tends to be an oversimplification of applying one company's demand trends broadly across whole peers. Can you give us a sense of your leisure BT group revenue growth expectations that aggregate up to the 1% to 3% RevPAR guide and just highlight why your portfolio may not align immediately with peers?
Jeff Donnelly: Good morning, Dori. I mean, I would say off the cuff that a lot of it obviously relates to your footprint. Just speaking to, like, for example, on the leisure side, you know, I think where a lot of the weakness that we have seen in leisure that we referenced really, it has been in Florida where frankly our portfolio tends to be a little more, what I would say, popular priced or more, you know, sort of appeal to a broader consumer set, where it is outside of Florida. A lot of our properties tend to be at sort of the luxury end where we have not seen as much of a headwind. I think from a ranking standpoint, we tend to think of, you know, group being better than BT and BT being better than leisure, but I do not think we have a budget available by segment that I could give you, you know, that would back into the one to three because we tend to budget more by hotel location than we do.
Dori Kesten: Okay. That is fair. And then, Justin, you talked about guests, can you talk about what you are seeing today on the transaction front? Maybe just highlighting the volume of off-market deals you are seeing today versus, say, months ago. And then can you talk about how competitive the process was for the Westin City Center?
Jeff Donnelly: Sure. I mean, I think we are seeing, I think as everyone has looked at the transaction volume, and transaction volume is still down significantly from kind of prior run rate. We would see it down about 75% versus kind of, like, pre-COVID transaction volume. So I think there are very few transactions that are getting done. I think if you really back out some of the very large transactions, which are driving a lot of that volume, I mean, we have not seen a lot of stuff get across the finish line, and there is still a pretty significant bit of ask. So while we are actively out there, it is sort of soliciting bids, I would not say that we are soliciting bids that, you know, a number that people particularly like, and we have not seen a lot of force selling in the market. So it is a pretty quiet transaction market. And I think that that really is similar to what we saw six months ago. I think people were optimistic. We would see a drop-off in rates, and that might drive some incremental volume. But given what has happened to interest rates, I think the market still seems to be sort of stuck in a holding pattern.
Dori Kesten: Okay. And then last one. Does your 2025 guide assume further hotel-level operating efficiencies are achieved coming off those in 2024?
Jeff Donnelly: I think we are seeing a little bit of slowing of expense growth. A lot of our expense growth last year was driven by our great group year. We went the vast majority of our room traffic growth and food and beverage growth particularly came from the group segment, but just had a lot of labor growth. To service that incremental food and beverage business. So I think as our group pace has slowed a little bit, we are going to see a slowing of that labor growth number, but we have also been very focused on productivity within the portfolio. I think the business intelligence tool that we put in place last year really gives us a lot more visibility into individual hotels' P&Ls, and we have been able to sort of highlight some inefficiency and transplant some best practices throughout the portfolio.
Dori Kesten: Okay. So much. Thank you. Our next question comes from Austin Wurschmidt of Capital Markets. Your line is open.
Austin Wurschmidt: Hey. Good morning, everybody. Jeff, you referenced the drag from the forward Florida resort assets this past quarter and maybe continuing, you know, into the early part of the year, but just maybe broad strokes. I mean, how are you thinking about, you know, this subset of assets relative to the overall portfolio as you look out over the course of the year given there has been a little bit of a, you know, normalization in resort patterns and just curious where we are in that, you know, where you think we are in that normalization process.
Jeff Donnelly: Yeah. And good morning, Austin. It is a great question. I mean, I wish, you know, any of us had a crystal ball on that. But I think our expectation and how we are thinking about this year is the belief that in the back half of the year, as we begin to, you know, comp over what we saw in the back half of 2024, is that Florida, in particular, will begin to find its footing a little bit. We are not expecting to be clear, like, a hockey stick recovery. It is just that the year-over-year declines will begin to subside. So that is how we are thinking about it. You know, to step back for a moment, I think there is just a lot of uncertainty right there now in the economy. I mean, inflation seems to be something that is being difficult to get tamed and, you know, unemployment is up a little bit. So we recognize that, you know, consumers continue to be under a bit of pressure. And I think why we are a little more cautious on the outlook for some of those I described it, it is more popular price resorts.
Austin Wurschmidt: That is helpful. And then just your comments on, you know, CapEx at, you know, the Westin DC and how you guys have continued to convey your thinking about, you know, managing free cash flow. Any other large kind of hotels with mandated CapEx projects that you are staring down and considering, you know, maybe it is better to evaluate other options instead of, you know, moving forward with those projects. And that is all for me. Thanks.
Jeff Donnelly: Yeah. I mean, in some of them, I would actually say it does not necessarily have to be large in dollars. Absolute terms. It can just be large relative to the earnings that we expect out of that hotel. And, you know, and also just relative to how the market will sort of pay you for that hotel. So some of the properties we have mentioned in the past as, you know, potentially non-core would sort of fit that bill where they can be, you know, the CapEx over the next few years could actually come very close to equating to the NOI of the hotel. I do not know if you have anything to add or.
Justin Leonard: No. I think we are actively looking at the portfolio and I think trying to figure out the best use of capital dollars. We have been elongating some of those renovation cycles in order to try and get, you know, sort of more bang for our buck. You know, unfortunately, I think some of the assets that require us to give an amount of capital are not necessarily the ones that are going to trade for a premium price. So I think that is really the balance that we are making. And looking at some of those assets that Jeff said, it may not be necessarily the biggest number from a CapEx perspective, but we are where will the market price through it? So it may actually come in markets that we are a little bit more optimistic about, but the CapEx number is a percent of total value is large.
Austin Wurschmidt: Appreciate the time. Thank you. Bye.
Operator: Thank you. Our next question comes from Smedes Rose. Hi. Thanks. I was just wondering if you could share what the increase in labor property level labor and wage and benefits was for 2024 what you are expecting in 2025, and maybe just any thoughts on at the pace going forward? It seems like yours are maybe a little bit lower than some of your peers, so just wanted to put some numbers around.
Jeff Donnelly: Sure. Sure. Yeah. We and I think we have mentioned this. A lot of our benefit growth and wage growth is really driven by the massive amount of increase we had in food and beverage. And we saw it abate towards the end of the year. But in totality, we actually saw wages up about 7% for the year. Salaries and wages, salaries are about 5% and picked up at about 12.5%. So we saw that significantly abate as we got to the third and fourth quarter. We had 10 plus percent food and beverage growth and saw significant growth is really driven by a lot of that food and beverage labor. Then as we got to the end of the year, that number had slowed to about a 4% year-over-year growth as food and beverage was more comparable to the year prior.
Briony Quinn: And our 2025 guidance assumes that wages and benefits will grow sort of around 4%.
Smedes Rose: Okay. And do you would you expect the pace to continue to slow, I guess, as we go twenty you know, just your general thoughts. I know we sort of like the year is younger.
Jeff Donnelly: I think, marginally, I think we are seeing more applicants for open job positions and, you know, it is not it is definitely not sort of the breakneck pace of labor growth that we saw though. The jobs market seems to have slowed a little bit. And I think with, you know, with more applicants, there is probably less wage pressure in the majority of our markets.
Briony Quinn: True. And I would say that the only thing in 2026 for us is we will have a union contract reset in New York. But we only have three limited service hotels there. So that should not be as impactful for us as a lot of the full-service hotels, but we will have that headwind, if you will, in 2026.
Smedes Rose: Great. And then I just wanted to ask you on the dividend. You mentioned, so going to the $0.08 kind of quarterly run rate. And then potential stub dividend. Based on your guidance now, would you expect to pay a stub dividend or can be I think you have a loss on the sale of the Westin. Is that count against the, you know, dividend required dividend payouts?
Briony Quinn: Yeah. That is true. We will have a loss on DC. I think the tax loss is actually a little lower than the GAAP loss. But I do expect that we will pay a stub dividend in the fourth quarter. I cannot tell you today what that might be, but that is our expectation.
Smedes Rose: Thank you.
Operator: Thank you. Our next question comes from Michael Bellisario of Baird. Your line is open.
Michael Bellisario: Thanks. Good morning, everyone.
Jeff Donnelly: Morning, Mike.
Michael Bellisario: Just want to go back to CapEx for a second. Just and dig into the potentially refined scope at the landings and just maybe also in relation to what you did in New Orleans. Are you dialing back spend because of cost inflation and returns are lower, or are you seeing something different in these markets fundamentally that maybe changing your view about where and how much you should be investing there?
Jeff Donnelly: I will chime in and Justin can join in. I mean, as it related to the bourbon, I think, you know, the scope of work and meaning, like, the actual design, you know, setting aside the cost for a moment, I think was something that we were pursuing. And then when you actually kind of went to go bid that out, I think the sheer cost was a little bit higher than our expectation and, frankly, there are some costs such as room renovations that, you know, if they do not trigger incremental operating expenses and there are some expenditures, like in that case, we are adding more food and beverage outlets and bars that are going to trigger, you know, additional staff going to really something that you want to be doing there from a return perspective. So I think in the case of bourbon, we felt that just the room renovation and the destination fee that followed could effectively produce a better return than if we had spent all the incremental money on building food and beverage outlets that, you know, generally tend to run with lower margins. So it was just really thinking about where, like, we could minimize the dollars and generate the biggest return. It does not mean that we cannot hold that option for F&B outlets on the side for the future, but that is just how we had thought about that one. Justin can speak to the landing.
Justin Leonard: Yeah. I think, clearly, when it comes to landing, we are just trying to be more disciplined about what the true potential ROI is for capital dollars invested. We have some entitlement to build additional room product, but it is a hotel that does not run high occupancy for a good portion of the year. And I think, you know, perhaps some of our underwriting initially about what we could do in terms of incremental occupancy we added 14 rooms. We really dug into it. We thought it was a little overly optimistic. And I think that combined with the fact that cost came in a little higher than we had originally anticipated, we priced the project. It is just taking us back to the drawing board to see if we can find a, you know, better way to utilize those, you know, 14 initial entitlements, but do it in a more cost-effective way given that we are only going to get occupancy on, you know, kind of premium occupancy nights.
Michael Bellisario: Got it. Understood. That is helpful there. And then just on the group comments you guys made, just aside from Chicago, maybe what hotels, what markets did you see the pace pick up since 3Q and where is the potential still exist in the portfolio to continue filling in as the year progresses?
Justin Leonard: Yeah. I think it is some of our sort of midsize urban hotels had some nice movement. So, you know, Denver, Salt Lake, San Diego, all had some decent movement and closed a decent amount of business towards the end of the year. So I think we are seeing some good progress. I think, you know, particularly in Lake and San Diego, which are two hotels we just renovated. I think we are starting to see some of the benefit of those invested. On group doors, we are able to close a little bit more of that group business.
Michael Bellisario: That is all for me. Thank you.
Operator: Thank you. Our next question comes from Duane Pfennigwerth of Evercore ISI. Your line is open.
Peter: Hi. Thanks. This is Peter on for Duane. Thanks for taking questions. So I guess Jeff or Justin, if you could, you know, help us think about the RevPAR growth by quarter this year, anything that you would highlight on the shape of RevPAR throughout the year. Maybe a tough comp in a certain quarter, easier comp in other quarters. And then if particular, in 1Q, sounds like Florida Resorts expected to be down but you did get the benefit of the inauguration at DC and the Super Bowl. Just kind of help us think about 1Q and then how it evolved through the rest of the year.
Jeff Donnelly: I mean, looking at it, I think when you look at it overall, I think our first quarter is where our expectation is that our RevPAR will be a little bit softer than the average of the remaining quarters. You know, it is a little bit of, like, tale of two cities, I would say, and that the resorts we are expecting, as I said in my remarks, would be a little softer in the first part of the year. And then first quarter, we tend to be very resort or leisure driven. Really, it is that is when ski markets and say, like, Florida markets would typically be at their peak, and expecting Florida to be on the soft side. As we move through the remainder of the year, that is when, you know, the urban markets tend to stay a little bit better and, you know, we have a little more visibility. I would say our probably toughest comp on the urban side is August Q4. Well, yeah. August and Q4. August because Chicago, the Democratic National Convention came through and this also in the fourth quarter, we had very good group pace. But when you blend it together, I would say the first quarter, I think, is going to be on the lower side relative to the rest of the year. And maybe relatively, you know, sort of in the, what, 2% to 3% range in the remaining three quarters.
Peter: That is very helpful. Thank you for that. And then I guess just on the expense side, could you highlight maybe some initiatives that you have taken, you know, anything in particular that is kind of helps your expense growth. For this year, which seems to be a little bit better than peers? For taking the questions.
Jeff Donnelly: Yeah. We have not found the magic bullet. I think it is really just a focus on productivity. And I think a lot see, some of the tools that we have enacted and I think we have been able to sort of dig a little bit deeper into some of our managers' labor management tools really to try and figure out where are we having successes from a productivity, particularly of rooms, and where can we utilize, you know, some of the standards that are in place at those hotels that are able to drive, you know, higher flow through and better route productivity and utilize some of those at other assets. I think that is really where we have had success. So, you know, it is just kind of blocking and tackling like, how do we combat the increase in labor costs with a bit of increased productivity to hopefully offset some of that wage inflation.
Peter: Got it. Appreciate the thoughts.
Operator: Thank you. Our next question comes from Floris van Dijkum of Compass Point LLC, your line is open.
Floris van Dijkum: Morning, guys. Jeff, appreciated your comments on FFO and why it is important to look at the capital structure and the balance sheet and actually what comes down to what pays the dividends. One of the interesting things, I think, is if we look at your stock and, you know, most of your peers as well, frankly, you look cheap on both, you know, on both FFO and EBITDA. I just want to sort of alluded to this, but maybe if you can expound on the fact the, you know, are there better opportunities today than buying your own stock back? What would make, you know, I guess, maybe ROI projects potentially could get higher returns. If you can talk about your, you know, as you look out at your portfolio today, where you find the best or the most attractive returns available.
Jeff Donnelly: Yeah. Thank you for the question, Floris. I mean, certainly, share repurchases are attractive. I think if you, you know, and when you consider our source of funds, for example, and you know, you look at what we were saying sort of CapEx adjusted, you know, where we were thinking we sold the Westin DC and you could conceptually do the same for our portfolio. Just think it is a much better sort of free cash flow yield in our shares than it is in the Westin DC. You know, there are other investments as well. As you mentioned, ROI projects within our portfolio because for us, you know, we are able to better understand those risks than most. And also, there are some pieces of our capital structure where, you know, depending on the source of funds, there can be opportunities to accretively pay off debt and reduce leverage or, you know, call our preferred. So we do look at all of those options. Right now, I mean, we would love to be finding, you know, compelling external growth opportunities at ten caps and, you know, a fraction of replacement cost, but there is just not a lot of that out there.
Floris van Dijkum: Yeah. And maybe my follow-up question, as you think about portfolio composition, you sold another, you know, I guess, $90 million hotel in DC. How do you see, you know, the portfolio of your hotels in two years' time? Is it going to be more concentrated, or do you think it is going to be more diversified in terms of, you know, single asset exposures?
Jeff Donnelly: I guess, I would like to believe that it will be more diversified. I think there will continue to be some, you know, asset sales over the next few years that might skew towards larger assets and, you know, if we are successful on that, recycling that capital, you know, would allow us to diversify our portfolio a little bit would be my expectation.
Floris van Dijkum: And in terms of management, is there a, I mean, you could argue that having fewer assets are easier to manage. How do you look at in terms of managing your portfolio and driving, you know, driving growth, is it, I guess, you are pretty close in contact with all of your local operators. Are you benchmarking across the portfolio? And are you finding opportunities to increase the operations as well?
Jeff Donnelly: We just work harder than everybody else. No. I think candidly, Floris, we, you know, we have the most, in terms of percentage of portfolio, we are by far the most third-party managed. It just gives us, you know, a lot of say in the operations at our individual assets. We are really able to dictate, like, a lot of the policies and procedures and staffing levels to a higher degree, I think that we ultimately can on some of the brand-managed assets. So that gives us a say in cost mitigation strategies.
Floris van Dijkum: Thanks, guys. Thanks, Fortune.
Operator: Thank you. I am showing no further questions at this time. I would like to turn it back to Jeff Donnelly for closing remarks.
Jeff Donnelly: Well, thank you, everybody, for joining us this quarter, and we look forward to seeing you on the road. Thanks.
Operator: This concludes today's conference call. Thank you for participating and you may now disconnect.